Operator: Hello, everyone. Thank you for joining us, and welcome to the Genius Sports Limited Fourth Quarter 2025 Earnings Results. After today's prepared remarks, we will host a question-and-answer session. To withdraw your question, please press 1 again. I will now hand the call over to Brandon Bukstel, Head of Investor Relations. Please go ahead.
Brandon Bukstel: Thank you, and good morning. Before we begin, we would like to remind you that certain statements made during this call may constitute forward-looking statements that are subject to risks that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility for updating forward-looking statements. Any such statements should be considered in conjunction with cautionary statements in our earnings release and risk factor discussions in our filings with the SEC, including our annual report on Form 20-F, filed with the SEC on 03/14/2025. During the call, management will also discuss certain non-GAAP measures that we believe may be useful in evaluating Genius Sports Limited's operating performance. These measures should not be considered in isolation or as a substitute for Genius Sports Limited's financial results prepared in accordance with U.S. GAAP. A reconciliation of these non-GAAP measures to the most directly comparable U.S. GAAP measures is available in our earnings press release and earnings presentation, which can be found on our website at geniussports.com. With that, I will now turn the call over to our CEO, Mark Locke. Good morning, everyone, and thank you for joining us today to discuss our Q4 results.
Mark Locke: On today's call, we would like to cover three topics. First, we will take a moment to highlight the strong Q4 and full-year results, which we preannounced last month. There are two main takeaways from our 2025 results. Revenue growth of 31% is our strongest annual increase since 2021, and our full-year 20% EBITDA margin is our highest annual margin. Second, both the betting business and the media business are on great footing, which enables us to reaffirm our 2026 guidance of continued top-line growth and margin expansion, exactly in line with what we communicated on the Investor Day in December and preannounced last month. And finally, I want to provide additional perspective on our recently announced acquisition of Legend, addressing directly the key questions raised by investors and discussing the confidence we have in the financial and strategic rationale of the transaction. I will come back to this later in the call. But first, I will turn to Bryan to discuss our financial results.
Bryan Castellani: Thank you, Mark. First, we achieved group revenue of $669 million in 2025, representing 31% growth, as Mark said, our strongest annual increase since 2021. This translated to $136 million of group adjusted EBITDA, representing a 20% margin, also, as Mark highlighted, our highest annual margin as a public company. Group revenue growth was well balanced across betting and media. Betting revenue increased 33% in 2025, marking its strongest year since 2021, our first year with exclusive NFL data rights. Our strong betting revenue was primarily driven by growth with existing customers, who benefit from the increasing suite of innovative products such as BetVision, which is now available for NFL, Serie A, FIBA Basketball, and dozens of other soccer, tennis, and esports competitions. BetVision is consistently increasing engagement and driving greater in-play wagering for our sportsbook partners, so we are excited to continue expanding our coverage. 2025 marked another strong example of our ability to outpace the 24% growth of global online sports betting GGR, further demonstrating our consistent and predictable commercial model. Our Media business delivered a strong performance in 2025, increasing 37% to $144 million. This represents our strongest annual growth since 2022, supported in particular by execution in the second half of the year, where revenue nearly doubled compared to the second half of 2024. While our fourth quarter delivered exceptional results, we do not expect that exceptionally high growth rate to continue. The second half benefited from a combination of new partner launches and market conditions that created a particularly strong comparison period. As a reminder, we are also making certain changes in how we recognize revenue in the Media segment, transitioning some arrangements from gross to net reporting. This will impact reported top-line growth rates but is expected to improve our margin profile and better reflect the economics of those contracts. We continue to partner with some of the world's largest advertising agencies including PMG, Publicis, and most recently WPP. We are also partnering with the largest independent supply-side platform, Magnite. This partnership embeds our real-time sports signals directly into Magnite's platform, allowing advertisers to activate against official, real-time sports moments inside a scaled programmatic infrastructure. Importantly, this places Genius Sports Limited directly in the flow of billions of dollars in advertising spend. Additionally, we recently partnered with NBC Sports regional networks to power AI-driven augmented advertising across 600 live NBA games. Genius IQ turns real-time moments into premium, data-driven sponsorship inventory integrated directly into the broadcast. As you can see, Genius Sports Limited is deeply embedded in the media infrastructure, controlling several of the monetization layers within live sports, a category that has quickly become a priority for the biggest brands and agencies. Overall, we are encouraged by the momentum in media and the progress we have made in demonstrating performance outcomes for partners. And lastly, it is worth highlighting the diversified growth by geography. While the Americas accounted for most of our growth this year, up 41%, our established European markets also delivered strong performance, with growth exceeding 20% in 2025, up from 15% in 2024. We expect this momentum to continue into 2026. As we said last month, we expect the organic business to generate between $810 million and $820 million of revenue and $180 million to $190 million of adjusted EBITDA. This represents growth of 22% and 36%, respectively, right in line with the expectations from our Investor Day, and balanced across betting and media. On a related note, beginning in 2026, we will report revenue across two product groups, betting and media, which more closely reflects how we operate the business today. Our existing Sports Technology revenue will be allocated across these groups based on a thoughtful assessment of where each technology application is best suited to sit. To support this transition, we have included historical quarterly financials in the appendix recast under the new reporting structure. And finally, we expect the addition of Legend to be immediately accretive to this guidance post close in Q2 of this year. On an annualized basis, we expect the combined entity would achieve group revenue of $1.1 billion, group adjusted EBITDA of $320 million to $330 million, with group adjusted EBITDA margin of approximately 30% and free cash flow conversion of approximately 50%. This is an acceleration of our financial targets by two years. And on that note, I will now turn the call back to Mark to discuss Legend in more detail.
Mark Locke: Thanks, Bryan. Before we conclude, I want to speak clearly and directly about our acquisition of Legend. Legend is not simply just a media business. It is a technology company that is built around large, loyal sports and iGaming audiences. Legend operates an audience monetization platform that is built off of two decades of technological investment. This is where the value of Legend's business is. Legend's tech engine captures how users engage with content in real time. This content is not static information pages. They are environments that are built for participation around live sports and gaming experiences. For example, a user may analyze real-time data in a community discussion around a major sporting event, repeatedly explore new online casino titles, demoing the ones that best suit their taste, or follow specific personalities tied to teams or games, celebrating the latest win or jackpot. These actions ultimately generate rich signals of intent inside environments designed for repeat interaction. Legend uses these signals to continuously upgrade the experience and recommend personalized transactions. When a user ultimately completes the transaction with a gaming operator or bookmaker, that outcome feeds back into the system. Over time, Legend's models get better at understanding which engagement patterns lead to action and Legend can rapidly optimize commercial models. That feedback loop is where long-term value is created. It is not about answering factual queries. It is about facilitating participation inside owned environments and continuously improving the economics behind it. This technology is the result of 20-plus years of and data training and over $300 million of invested capital. Outside of Legend's own properties, the application of this technology carries enormous value to third parties. In one example, a well-known brand in the gaming integrated Legend's software into its own digital properties and within six months experienced a 50% uplift in revenue from higher conversion. This plug-and-play model is also proven with brands like Sports Illustrated and Yahoo Sports, just to name a few. When combined with the reach and distribution of Genius Sports Limited's network across the sports ecosystem, this can potentially be scaled and replicated hundreds of times. More on this later when we would discuss revenue synergies. The value of this technology is further enhanced by engagement metrics on slide 12. Legend has created a natural, organic destination for high-quality users who deliver long-term value for operators. In fact, one of Legend's top customers, a well-known global operator, has reported that customers acquired through Legend have a 60% higher value after one year compared to all other customer acquisition channels. Because of the value that Legend delivers to its customers, they command premium economics. There are four key components of its commercial model. First is sponsorship and ad placement. Operators pay a premium to have prominent placement on Legend's properties because they want to be up front and center to reach high-intent users. Second is upfront commitments. When a user makes a first deposit, Legend gets paid. Third is revenue share. Legend delivers quality users with long-term value. Once acquired, Legend shares in the operator's revenue from those users every time that they play the casino or bet on sports, and in many cases, Legend shares its revenue in perpetuity through lifetime revenue share contracts. This results in high-quality, predictable, and recurring revenue. Next, I want to be explicit about the comparison to traditional affiliate businesses. We understand that the word affiliate has been the simple default comparison, but that framing misses what actually drives Legend's model. The key issue is not the monetization label. It is traffic durability and depth of engagement. Traditional affiliate models rely heavily on SEO and paid marketing, often spending between and 40% of revenue to sustain traffic. Legend spends approximately 5% because its traffic is direct and repeat. Engagement is technology-driven, optimized in real time, and built on owned environments. That creates durable economics. The metrics very clearly speak for themselves. Look no further than the data sourced from SimilarWeb comparing session depth and session time across Legend properties. As you can see, this level of engagement is more comparable to a booking.com or FanDuel rather than a simple odds comparison website or even the digital property of the most popular sports leagues. Again, we will revisit this when discussing revenue synergies. The last point that I would like to address is the risk of disruption from AI LLMs or changing search algorithms. This is yet another key difference from a traditional affiliate business, which often rely heavily on search engine. If search visibility changes, their traffic can disappear. Legend is different. Engagement is recurring. Revenue is diversified across operators and geographies and tied to lifetime value, not one-off clicks. The economics are built on participation, not page views. That participation takes place across a wide range of experiences, everything from tournaments to live dealer streams, community engagement, and more. These are all deep, immersive experiences that cannot be replicated by LLMs. So if you believe AI will make this kind of business obsolete, you should consider this. AI actually makes this model more valuable, not less. As LLMs commoditize information retrieval, competitive advantage shifts to owning environments where 118,000,000 users actively participate and to the proprietary intent signals that those interactions generate. Generic answers are free. Proprietary behavioral data is not. Over the past decade, digital businesses have moved from monetizing attention to capturing intent. Advances in AI accelerate that shift, enabling better prediction, deeper personalization, and more efficient commercial outcomes. In sports and iGaming, this transformation is now happening in real time. Legend operates at the precise moment when participation turns into action. Based on this, we are very confident in Legend's proven business model. Our 2028 guidance is underpinned by the predictable operating leverage and increasing cash flow that both Legend and Genius Sports Limited can achieve independently. The combined business is expected to sustain 20% revenue growth, strong EBITDA margins, and over 50% free cash flow conversion, and growing. A financial profile that is rare in public markets. And this is before we account for any synergies. We have identified four specific revenue synergies that we believe are executable immediately post close and capable of driving incremental upside beyond our 2028 increased guidance. The first is customer cross-sell. Genius Sports Limited's official data rights and product suite will sit alongside Legend's scaled, high-intent acquisition funnel. This unites premium content with proven customer intent. Upon closing, we can activate cross-sell across our sportsbooks and gaming relationships, improving acquisition efficiency and increasing customer lifetime value. Importantly, this positions Genius Sports Limited to participate in the large and growing iCasino market, expanding our total addressable market by approximately 70%. In addition, players who engage in both iCasino and online sports betting are estimated to be roughly 15 times more valuable to operators than sports-only bettors. This places Genius Sports Limited at the center of our partners' highest value customer acquisition efforts. Next is monetization of a combined audience asset. Legend will materially expand our first-party audience reach. Combined with Genius Sports Limited's proprietary data graph, this creates a scaled, privacy-compliant audience asset that can be activated across the advertising ecosystem. This is expected to drive higher yield on traffic already within our control and allows Genius Sports Limited to bring a unique and powerful audience graph to other leading ad-driven platforms. In other words, Legend further strengthens our value to brands and agencies. We know who the fans are, we know when, and we know where they are engaged, and we are activating them at scale through Fanhub and in partnership with large global agencies like Publicis, WPP, and PMG. Third is scaling Legend's technology across leagues and teams to monetize their underutilized digital assets. Legend's technology platform has demonstrated its ability to drive engagement and conversion across owned and operated properties. If you recall the SimilarWeb data, many of our 400-plus league and team partners face the same structural need to better understand and monetize their fan audiences. Applying Legend's platform across our rights portfolio will extend the Genius Sports Limited model from data capture and distribution into audience activation and conversion. This shift is from selling audience access to selling influence over identifiable individuals whose behavior and propensity are measurable. And, finally, we will be able to distribute Genius Sports Limited's data and products through Legend's channels. We have spent years embedding Genius Sports Limited's data and products across the global sports ecosystem, from BetVision to broadcast augmentation and integrity services. Legend will provide a scaled, high-traffic distribution service. Integrating our data and product suite will further strengthen Legend's acquisition funnel while expanding the commercial distribution of Genius Sports Limited's assets. As we execute, we will quantify the impact of these four opportunities with discipline. We are confident that this combination will enhance both the growth rate and the cash flow profile of the business relative to our standalone trajectory. In the meantime, I will leave you with this final thought. The future economics of sport will be determined by the infrastructure through which fan participation flows. At its core, that infrastructure is shaped by three elements: official data, authenticated identity, and intent at the moment of transaction. Together, Genius Sports Limited and Legend operate across all three layers. This acquisition is a deliberate acceleration of the strategy that we outlined at our Investor Day and have been executing for years. By integrating data, identity, and intent at scale, we are positioning Genius Sports Limited to capture a greater share of the economic value flowing through global sports and gaming. We have proven our ability to execute, and with this added scale and capability, we will have a business that we believe is built to continue that track record of execution and compound value for years to come. And on that note, now open the line to Q&A.
Operator: We will now begin the question-and-answer session. Please limit yourself to one question and one follow-up. If you would like to ask a question, please press star 1 on your telephone keypad. To withdraw your question, please press star 1 again. Please pick up your handset when asking a question. And if you are muted locally, please remember to unmute your device. Please stand by while we compile the Q&A roster. Your first question comes from the line of Jordan Bender from Citizens. Jordan, we are just opening your line, and your line is now open.
Jordan Bender: Thanks. I want to start on free cash flow. That was down in 2025. If we think through the standalone business, how much investment or one-time costs are in that number that might have held back free cash flow growth in the year? And just went through the Investor Day back in December. Can you remind us of the levers to organically increase free cash flow from here outside of the Legend acquisition?
Bryan Castellani: Hey, Jordan. It is Bryan. On free cash flow, as we had announced that $281 million balance and our focus is growing that year to year. As we defined at Investor Day, we take EBITDA minus the cap software and CapEx and PP&E, as well as changes in working capital and taxes. And so for the year, that included some nonrecurring exceptional legal expense, or litigation related. If you exclude those, and I think you can see that was about a $30 million swing. The other thing we do adjust for is obviously M&A, like the Sports Innovation Lab acquisition, as well as the share raise. We do not want to take credit for that, nor on the M&A piece where those are longer-term strategic and so one year may have a bigger investment into that. But that is how we think about the free cash flow and those one-time nonrecurring impacted the year about $30 million.
Jordan Bender: Understood. Thanks. And I want to switch over to the media business for a second. I assume you are not going to give us the actual numbers here, but maybe holistically, how much contribution did some of the new media agreements with, like, PMG and Publicis add to the total growth in media in the back half of the year?
Bryan Castellani: Those scaled up, and they are early. We just announced those, and so they do take some time to ramp and work with them on onboarding clients and campaigns. So fairly muted, if any, impact on those.
Jordan Bender: Understood. Thank you very much.
Operator: Thank you very much for your question. Your next question comes from Jed Kelly from Oppenheimer & Co., Inc. Jed, your line is now open.
Jed Kelly: Hey. Great. Thanks for taking my question. Can you give us an update on how partner conversations are going, particularly your media partners and media agencies, following the Legend acquisition? And then as my follow-up, you mentioned you expect some moderation of growth in the second half for the Media business. However, it seems there is going to be a decent amount of advertising around prediction markets given what the bigger players are saying. How much have you embedded that in your guide? Thanks.
Josh: Sure, Jed. Let me take them in reverse order. On the prediction market piece, we are already seeing spend flowing through from advertisers activating in that space. That is through the historical Genius Sports Limited media business, and when Legend closes, we will have access to the activity they are running there as well. We expect to capitalize on the spend boom around prediction markets—we already have campaigns in market. Operators are talking about increasing spend on that activity, and we expect to be part of that. In terms of media partnerships and conversations, if you are keeping track of the big agencies, we have knocked a few down and there are a few more to go. All of those are progressing nicely. The Magnite announcement is a testament to the ecosystem buying into sports media and developing technologies on top of the Genius Sports Limited infrastructure. Our expectation is that we continue to see more of the ad tech and media community building on top of official data and our fan graph.
Mark Locke: It might be worth taking a few minutes to explain that Magnite presentation in a bit more detail—how the economics work and why it is important.
Josh: The way to think about our Genius Sports Limited sales channel for the media business is twofold. First, we go direct to agencies and brands with our own sales team, responding to large campaign briefs. Second, we are establishing a distributed sales channel through the ad tech ecosystem where we surface all of the Genius Sports Limited data and audience intelligence—what agencies are buying from us—inside platforms that already have scaled demand of billions of dollars. That allows our partners and their sales teams to take the Genius Sports Limited offering out to market.
Operator: Thank you very much for your question. Your next question comes from Bernie McTernan from Needham. Bernie, your line is now open.
Bernie McTernan: Great. Thanks for taking the question. At the Investor Day, there was a target of slightly more than half of the $500 million in total ad spend for media coming from self-service. How do you think this is going to break down between agencies and other ad tech players like Magnite? And are there any other buckets in there that are large that we should be aware of? And then I have a follow-up.
Josh: It is hard to give an exact number right now because everyone in the industry works together. For example, we might be working with Coca-Cola—demand can come direct from the agency as part of a specific brief, but it can also come from other activity via the ecosystem. Our goal is to capture as much demand flow as possible across the ecosystem by covering both direct relationships with agencies and building into the ad tech ecosystem. We are indifferent where the spend comes from between those channels. Our goal is broad distribution. Over time, we will be able to get more accurate on exact splits across those sales channels.
Bernie McTernan: Understood. Thanks, Josh. And as a follow-up, I believe the expectation is that betting tech revenue should grow faster in the first half of the year versus second half. Can you provide commentary on how we should expect rights costs to grow on a full-year basis and the sequencing between the first half and the second half?
Bryan Castellani: On rights growth, you saw some of the year-to-year impact. Remember we onboarded or acquired Serie A and EPFL in late summer, so that influenced Q4 and will influence the first half. It is also the first year of our new term on the EPL, which impacts the first half as well as Q4. But that is all phasing and inside of the strong guide we have for 2026.
Bernie McTernan: Okay. Understood. Thank you.
Operator: Thank you very much for your question. Your next question is coming from the line of Ryan Sigdahl from Craig-Hallum Capital Group. Ryan, your line is now open.
Ryan Sigdahl: Good day, guys. On March Madness—you have been partnered with TMCA for many years and had exclusive distribution last year—how are you thinking about March Madness this year from a betting standpoint and separately from a Fanhub ad tech standpoint? And is BetVision potentially an opportunity there? And then I have a quick follow-up.
Josh: We see March Madness as a big opportunity. We expect consistency with what we have seen across the betting business in previous years on betting activity, in line with market growth. On the advertising side, the first major event where our moment engine is widely available is March Madness. It is early days, but we expect to pick up a few test campaigns this year, with us going harder next year. It is incremental revenue monetized across multiple distribution channels for us with no additional rights fees.
Mark Locke: And from that point of view, it is a powerful endorsement of the strategy we have been outlining over the last few years.
Ryan Sigdahl: For my follow-up, a quick one for Bryan—how should we think about litigation costs as we head into 2026, given that was a pretty big one-time in 2025?
Bryan Castellani: We will update on any litigation-related activities as appropriate. Those are live, and I will not comment further here. As we say, we are focused on growing that cash balance year to year.
Josh: And to the extent those drive swings, we will communicate that as such when we know it.
Ryan Sigdahl: Fair enough. Thanks, guys. Good luck.
Operator: Thank you very much for your question. Your next question comes from Clark Lampen from BTIG. Clark, your line is now open.
Clark Lampen: Thanks for taking the question. Maybe we could take a step back around the media business and agency relationships. For a lot of us that are newer to this rapidly growing component of your business, could you give us a 101 on how these relationships work and evolve over time, and how they are augmented by things like augmented advertising? You are clearly going after the agency holdco ecosystem and already have relationships with two of the big five. How should we think about the practical workflow and impact on your business?
Josh: Happy to. We are building our advertising business through two channels: direct to agencies and brands, and integrations across the ad tech ecosystem. Our ethos is the same across both: Genius Sports Limited is the infrastructure layer for sports media. Commercially, we take media packages to market as curated deals. A curated deal bundles our audience data—our fan graph and understanding of fans—with inventory. That inventory can be Genius Sports Limited-owned, like BetVision and augmented ads, or premium third-party inventory. On top of that sits our moments engine, which we historically used in-house but are now externalizing so anyone can transact on it. Workflow-wise, we bundle audiences, inventory, and our intelligence layer based on an advertiser brief, and provide a unique code or deal ID that agencies input into their buying platforms. Over time, you build a portfolio of curated deals, creating ongoing money flow from campaigns across the ecosystem, buying Genius Sports Limited audiences and inventory. Growth comes from two levers: more active deals tapping more demand flow, and expanding the share of unique inventory we control within those deals, which drives revenue and margin expansion.
Mark Locke: It may also help to explain how media buyers actually operate and how that evolves.
Josh: Buyers at agencies work across multiple platforms and advertisers. As they expand campaigns, they often duplicate campaigns, carrying our deal IDs across. That helps keep deals active. The Legend acquisition enhances this further: we gain new intent signals and audience data that can be fed into curated deals to improve performance and address a wider variety of briefs. And as we create more unique inventory with the Legend tech stack, we can feed that into deals with an instant monetization path.
Clark Lampen: Really helpful. And as a quick follow-up on Legend, there are a couple of levers for revenue synergies: applying Legend tech to Genius properties, expanding properties, and backlog monetization. As we think about the second half of the year, which of those is most addressable or accretive in 2026?
Josh: The most immediate impact will be cross-sell to the existing customer base. From a technology perspective, access to Legend’s audience data is next—expect that to flow into our moment engine as soon as the deal closes, like we highlighted in the Magnite announcement. The slightly longer-tail synergy is building hosted solutions with our league partners—those integrations take longer than plugging audience data into our platform.
Mark Locke: One immediate application of the Legend engine is in BetVision. We get paid roughly three times more for in-play betting. BetVision is now knocking on the door of 25,000 events and growing. The Legend engine will optimize BetVision in real time to maximize commercial returns, increasing the proportion of in-play betting. We are a bit over 30% in-play in the U.S. today; Europe is 70%–80% in some cases. We expect to accelerate toward those levels, which compounds our revenue shares.
Operator: Thank you for your question. Your next question comes from the line of Eric Handler from Roth Capital. Eric, your line is open.
Eric Handler: Thank you very much. Good morning. Two questions. First, with regards to advertising inventory, you have a good amount of first-party inventory and some third-party inventory with Yahoo Sports and SI. Do you have enough inventory at this point to achieve your financial targets, or will you need more? And are you talking to any new leagues or teams about inventory? Second, on BetVision, you mentioned around 25,000 events. Over the next 12 to 18 months, how high can that number go, and which sports are next?
Josh: On inventory, we always want more unique inventory because it provides a competitive moat. Do we need more to deliver our numbers? Not necessarily. The beauty of the moment engine is we can apply our models across our own inventory and third parties. Premium publishers are reaching out to run our moments engine across their inventory, which brings us into additional demand flow. So we have multiple commercialization paths without requiring more owned inventory.
Mark Locke: And Legend gives us a massive amount of unique inventory that we own and control, further strengthening our position.
Bryan Castellani: On BetVision, in the materials we mention a path to around 300,000 events. A big driver of that is esports competitions. We recently added tennis and continue to build out across FIBA and others. We are always looking for more ways to expand our owned and operated inventory. Esports was a relatively easy bolt-on and delivered a significant number of events.
Eric Handler: Thank you.
Operator: Thank you very much for your question. Your next question comes from the line of Trey Bowers from Wells Fargo. Trey, your line is now open.
Trey Bowers: Hey, guys. Thanks for the question. Another BetVision question—any chance you could dig into what you learned from this most recent NFL season? Around engagement, interaction—how did that progress as the season went on? Any metrics you could provide would be helpful.
Bryan Castellani: We continue to see year-over-year engagement improvement on NFL as we ramp implementations and users get more familiar with it. Session times and repeat visits are increasing as we add more events. We also saw a 32% increase in unique plays on NFL and 62% across soccer.
Trey Bowers: Great. And a follow-up for Bryan: any early sense of potential one-timers for 2026 free cash flow so we are not surprised as the year progresses? M&A costs, etc.?
Bryan Castellani: Not at this time. We are focused on continuing to grow the year-to-year cash balance. We have given the annualized impact of the pro forma business—reaching about 30% EBITDA margin with near 50% free cash flow conversion. It is too early to specify any one-timers for 2026 today.
Trey Bowers: Thank you.
Operator: Thank you very much for your question. Your next question comes from the line of Barry Jonas from Truist. Barry, your line is now open.
Barry Jonas: Hey, guys. On Legend, can you talk more about the reaction of your league partners to the deal and specifically address Legend’s work in prediction markets and sweepstakes and the comfort level there?
Mark Locke: There are two distinct parts. First, league partners are very positive about our ability to drive wider viewership and get messaging out to a much larger audience we control—that was a big attraction for us. If you are a league and want to access sports fans in North America, the chances are we have them, and we can talk to them for you. On prediction markets, that is separate from league partners—I would not conflate the two. We see the advertising opportunity in prediction markets as significant, and Legend’s role in capturing that marketing spend is clear. More broadly, ask whether prediction markets are increasing the number of people making wagers on sports in the U.S. If the answer is yes, that is good for our market and our business, increases TAM, and increases the requirement for data—both marketing and market-making. We are watching a rapidly evolving regulatory transition with what we think is an obvious medium-term outcome. We have seen this journey before. The value of our data to sportsbooks today is a multiple of what it was a decade ago. We see an interesting opportunity to distribute data to prediction markets as regulation evolves. Our data will be needed.
Operator: Thank you very much for your question. Your next question comes from the line of Chad Beynon from Macquarie. Chad, your line is now open.
Chad Beynon: Hi. Good morning. Great to see you continue to outpace the betting market. From partners, we have heard about high hold and lower volumes across NFL this season. What are you seeing from an engagement standpoint? Is there any concern that volumes have decelerated, and could that impact your 2026 betting guidance? And then a quick follow-up.
Mark Locke: Short answer: no. If you look at our numbers, we are not seeing an impact and do not expect to. Remember, we are a global business—not just U.S. The South American market is growing quickly, Europe is still growing nicely, and there are many global opportunities. We see ourselves as the picks and shovels and somewhat immune to handle volatility. On your broader point, our global betting growth was 33% in 2025; U.S. betting growth was 50% versus roughly 30% for the U.S. market. That reflects additional products like BetVision and in-play, more content like Serie A and EFL, and pricing. These support a sustainable, stable, predictable business.
Chad Beynon: Thanks, Mark. And as a housekeeping item, what are the final steps to close the Legend deal? You mentioned Q2—what remains?
Mark Locke: Simply regulatory approval.
Chad Beynon: Thank you very much.
Operator: Thank you very much for your question. Your next question comes from the line of Jason Bazinet from Citi. Jason, your line is now open.
Jason Bazinet: Thanks. Two quick ones. You mentioned migrating from gross to net revenue recognition. Can you confirm that was contemplated in the guide? And when does that go into effect, and what is the magnitude?
Bryan Castellani: Jason, it is in the guide. We spoke about it at Investor Day. Some curated deals include placing our IDs and moments engine on third-party sell-side platforms. There we take a lower share of the overall campaign but at higher margins. That dynamic was implied at Investor Day and is reflected in the 2026 and 2028 guidance.
Jason Bazinet: Thank you.
Operator: Thank you very much for your question. Your final question comes from Gregory Gibas from Northland Securities. Greg, your line is now open.
Gregory Gibas: Great. Thanks for taking the questions. First, could you provide color on Legend’s revenue breakdown—how much is derived from media/advertising placements versus revenue share and lifetime revenue share? And second, how did self-serve versus managed trend in Q4 versus prior periods?
Mark Locke: Roughly 50/50 between media/advertising and revenue share, including lifetime revenue share.
Josh: On self-serve versus managed, self-serve is still a smaller share today. Much of the incremental gross revenue we are adding is coming from building out the self-serve, curated-deal portfolio, which takes time. In Q4, we still had a decent amount of managed service as we picked up scatter budgets at year-end. Over the longer term, we expect steady growth by distributing curated deals and gradually shifting the mix toward self-serve.
Operator: Thank you for your questions. There are no further questions at this time. This concludes today's call. Thank you for attending, and you may now disconnect.